Melanie Jaye Leydin: Good morning, and welcome to LARK Distilling's Half Year FY '26 Results for the period ending 31 December 2025. Today, we have LARK CEO, Stuart Gregor; and CFO, Iain Short, presenting. There will be opportunity at the end of the presentation to ask questions. Please submit your questions in the function at the bottom of the screen. I will now pass to Stuart.
Stuart Gregor: Thanks, Mel. Good morning, everyone. Thanks for joining us here for LARK's half year results. I'm personally quite honored and very thrilled to be presenting my first set of results as LARK's CEO 7 weeks into the job. In 2023, under the leadership of my predecessor CEO, Sash Sharma, LARK established 3 foundational strategic priorities that have served as the core pillars of our growth strategy. You can see them on the screen. They are building long-term brand value, international sales momentum and domestic leadership position and cash and capital discipline. As I now lead the ongoing refinement and evolution of the strategy, I'm confident that these 3 core pillars will remain unchanged, continuing to guide our ambitions to establish LARK as a preeminent force in New World Whisky. It is, by any measure, an exciting time for LARK. So some financial highlights. The first half of F '26 has started solidly with a significant amount of preparation going into our planned domestic and international brand relaunch in March and April 2026. Before we delve into the detail of these initiatives undertaken in the half and in each of our divisions, I'd like to touch on the financial highlights. Iain will provide a detailed overview a little later in the presentation. As an overview, we delivered net sales revenue of $8.7 million for the half, a 10% increase on the prior corresponding period. Within this, whisky net sales saw an 18% increase compared to the first half of FY '25. Gross profit for the half was $5.1 million, an increase of 2%. Gross margins were 58%. And while these were down due to the utilization of our higher cost acquired inventory, underlying margins remained stable at 63%. Again, Iain will detail the utilization of inventory and the fair value impact on our financial statements a little later. Our net operating cash outflows have improved by approximately $0.3 million or 10%. Improved net operating cash outflows reflected stronger underlying performance driven by stronger sales, moderated distilling through the commissioning of Pontville and increased interest income earned on cash balances. These improvements were partially offset by temporary timing impacts. Cash and capital discipline remains one of our key priorities, and we ended the half with $18.3 million of cash, providing flexibility to pursue our growth strategy as we move through this financial year and into the next. Operational execution. Operationally, we continue to execute on our strategic priorities. Our first is to establish LARK as a globally recognized and clearly differentiated luxury whisky. The LARK brand restage has been all but completed with a refreshed brand positioning, including new packaging and bottle size to elevate LARK as a leader in New World Whisky on the international stage. Operationally, much of the groundwork this half was preparing for the official LARK brand restage launch with coordinated trade and consumer launches. Initial shipments of the new 700 ml range were shipped to export partners in H1 with initial sales to domestic Australia and global travel retail to follow in H2 with incremental ranging and distribution secured for the launch across all channels. March 26 this year is the go-live date for our direct-to-consumer channels and our partners in the domestic and travel retail markets will begin selling the new look LARK from the back end of April this year. Importantly, the redevelopment of our long-term brand home in Pontville has now been finalized and the completed site development is showing encouraging improvements across safety, quality and efficiencies. The blending facility at Pontville is now operational with whisky marriages undertaken as part of the commissioning process, resulting in significant quality improvements to final products and efficiency and labor utilization. The finalization of the Pontville development sees the completion of a future-proofed single site operation and removal of production bottlenecks, enabling scaling to support growth. Pontville's annual distilling capacity is now circa 520,000 liters at strength of 43% alcohol by volume with a modular expansion that provides headroom for distilling volumes to increase as sales expand. LARK is looking to create repeatable, diversified revenue streams to support international sales momentum and domestic leadership. Renovations at Pontville and our Davey Street Hobart Cellar Door hospitality venues delivered increased capacity upgrades and enhanced ongoing brand and consumer experience. The Davey Street Cellar Door was reopened just prior to Christmas with a reopening event held only last week, which was a tremendous success and a leading member of the Tasmanian media called it a master class in how to do this style of event. We are winning over the Tasmanian media. E-commerce continued to play a pivotal role in our growth, and we continue to improve this channel operationally and support sales with specialty releases. Internationally, our momentum continued with a newly signed distribution agreement in Global Travel Retail as we look to expand into international airports in the second half of this financial year. And growth in our direct export business now sees us exporting to 10 Asian markets. Our third strategic priority is cash and capital discipline. And as mentioned in the previous slide, we improved net operating cash outflows, notwithstanding ongoing marketing investment. We remain well capitalized to execute on our growth strategy. And most importantly, we strongly believe that the continued execution across all 3 strategic pillars will drive long-term value for the business and shareholders alike. So some good news, positive momentum in net sales. This slide highlights the importance of the initiatives the team have undertaken over the past 3 years to drive growth across our 3 strategic pillars. LARK has continued to deliver improvements aligned to our strategic pillars, and there is no better reflection of this hard work than improving net sales. The actions we have taken have set the foundation for LARK's next stage of growth. The trajectory of net sales is especially encouraging when viewed against the challenging backdrop for the spirits market and consumer discretionary spending more broadly. LARK has sustained robust growth even as the category overall has faced a few headwinds. I'd like to call out that in quarter 3 F '25, LARK benefited from the initial release of the Seppeltsfield Rare Cask series with The Whisky Club, the world's biggest online whisky club. The comparable release for F '26 is scheduled for quarter 4. Nevertheless, we remain confident that the forthcoming official launch of the brand restage will lay a strong foundation to support long-term sales momentum. So building long-term value. Critically, the long anticipated resting of the LARK brand and portfolio has formed a cornerstone of our strategic vision. This initiative has given rise to an entirely refreshed portfolio, distinguished by innovative branding and a sophisticated new look and feel carefully crafted to resonate with the global luxury market. Beyond commercial repositioning, the brand's restage represents a powerful opportunity to elevate not only LARK, the Tasmanian and by extension, Australian whisky onto the world stage, showcasing our unique provenance and our unrivaled craftsmanship. The initial portfolio comprises 3 core expressions in 700 ml bottles, as you can see on the slide, a change that removes a long-standing barrier to international purchase and broadens accessibility. These initial launches will be supported by travel retail exclusives in addition to other product offerings being developed. The all-new visual identity has been created to ensure immediate cut through in a crowded category, while simultaneously celebrating the distinctive elements that define Tasmania. Our uncompromising climate, pristine waters and the creativity of our distillers converge to produce whiskys of genuine individuality and character. We are about to take some very distinctive only from Tasmanian whiskys to the world, rest assured. The brand restage will prove essential in unlocking the commercial potential of our whisky bank, which remains fundamental to driving the sustained future growth and sales momentum of the business. So here we are, we're underway. While we continue to invest in brand awareness in both Australia and overseas for the current range, a huge amount of work has been happening behind the scenes as we prepare for the coordinated launch of our new portfolio. I was up in Southeast Asia in just my third week in the job with Bill Lark and Chris Thomson, our Master Distiller, for launch events in both Singapore and Malaysia. The response to both markets was outstanding, and you can see some of the photos of some of the coverage we received on screen now. We've also shown the new range to key partners in Sydney already to unanimous acclaim. So the following slide continues to show how well our global reputation is rising. Ahead of the relaunch and rather, I must admit, exquisite timing, our Master Distiller, Chris Thomson was named as Master Distiller Blender of the Year for the Rest of the World at the World Whisky Awards just in January. This category celebrates excellence across more than 40 whisky-producing nations outside the traditional strongholds of Scotland, Ireland and the U.S. So the rest of the world includes whisky-producing powerhouses such as Japan. It's an incredible accolade for Chris, and congratulations to him and the distilling and blending team. News only got better later in that week when our founder and global ambassador, Bill Lark, was made a member of the Order of Australia and AM for his contribution to the Australian whisky industry. Bill is Australia's first modern era distiller to receive such national recognition, capping a legacy that includes him being the first Australian inducted into the World Whisky Hall of Fame back in 2015 and being the inaugural induct into the Australian Distilling Hall of Fame. Bill is an extraordinary legacy, and we are very proud to have him still working with us today in his role as global ambassador. Bill Lark remains a huge asset for our business. He's enormously popular amongst consumers and trade both at home and abroad, and we will continue to work closely with him in the years ahead. And importantly, as a sidebar, Bill absolutely loves the new whiskys and the new direction of the brand. International sales momentum and domestic leadership. Moving to Slide 13. Growing our presence internationally remains of critical importance for LARK. The half delivered export net sales of $1.3 million, an increase of $800,000 on the PCP, reflecting expanded distribution and improving depletion momentum across Asia as well as shipments of our new portfolio. The initial shipments of the new portfolio have been successfully delivered to 7 out of 10 key Asian markets ahead of the scheduled trade and consumer launch activities in the second half of this financial year. In China, the debut of Kurio, our entry-level blended malt whisky has generated impressive early momentum. Boyed by enthusiastic consumer reception in the first 3 months of sales in market, our expectation is the product will gain even further traction across this year and beyond. A key priority for us remains growing brand awareness and presence in export markets. Key activities during the half focused on reinforcing LARK's luxury brand position and strengthening alignment with trade and distribution partners ahead of the global relaunch. Key activities included LARK's presence at the Singapore Grand Prix within the Singapore Tourism Board suite, where VIP tastings were held across all 3 days, reinforcing LARK's luxury brand positioning with high-value consumers. Finally, distributor and trade partners were hosted in Hobart, deepening brand immersion and strengthening alignment ahead of our rollout into Southeast Asia. Moving to Slide 14 and Global Travel Retail. As most of you on this call know, global travel retail, which we call GTR is an exceptionally important part of building an international luxury brand, given consumer eyes and ability to showcase our product with the right consumer, and I'm very pleased with the progress. Brand awareness for both domestic and international travelers continued in the first half of the year. GTR net sales rose 17% to $1 million, supported by a strong focus on brand visibility across Australian airports. The channel observed strong sales in specialty releases with Christmas Cask and Lunar New Year 2026 products, driving incremental performance and depleting well across airport retailers. LARK significantly enhanced its brand visibility through a strategic upgrade at Sydney Airport in this half. The existing branded Wool Bay has been transformed into one of the largest whisky features in the store reinforcing a commanding presence within this vital international gateway. And from May, with our new restage product, our presence at SYD will grow only further. In December 2025, LARK was the #4 selling single malt whisky from all countries at Sydney Airport. Not only were we well ahead of all Australian whisky competitors, but ahead of all Japanese single malts. A new channel exclusive portfolio has been finalized and successfully presented to key Australian airport partners. The response has been overwhelmingly positive with widespread support secured ahead of the planned May 2026 launch. Notably, every customer has confirmed their commitment to stocking the full suite of core GTR releases. The GTR channel is expected to grow further afield following the signing of a distribution agreement in December with CoLab, the leading travel retail agency based in Singapore. The agreement will cover the Asia Pacific region, excluding Australia and New Zealand. The new relationship will look to build our airport coverage across the region with a new 700 ml portfolio from the second half of this financial year. Turning to Slide 15, Direct-to-consumer. LARK's internally managed channels performed well with direct-to-consumer net sales of $4.2 million, up 17% versus PCP, driven by continued momentum in e-commerce, which grew by 33%. Our e-commerce channel exhibited strong gifting demand with key products, including personalization. The Christmas campaign kicked off in October '25 with a limited release Christmas Cask achieving excellent sales. The subsequent introduction of Lunar New Year offerings in December brought the half year to a resounding close, supported by optimization of digital acquisition and conversion to include digital channels such as RedNote to support Chinese consumer engagement. Our e-commerce platform remains a cornerstone of growth, and we continue to refine and enhance this vital channel. We've developed a comprehensively restaged website with a new brand positioning ready to switch over with the launch of the new portfolio at the end of March 2026. To strengthen our footprint in priority European markets, we have entered into a strategic agreement with a European-based e-commerce and logistics specialist. This partnership leverages established infrastructure and internal e-commerce expertise, enabling local fulfillment and logistics from a dedicated European hub. Consumer sales through this channel is expected to commence in quarter 4 of this financial year, allowing LARK to expand its D2C presence across key regions, including the Netherlands, Denmark, Germany and Austria by seamlessly integrating with our existing e-commerce capabilities. We continue to assess our options for D2C as well as traditional retail across Europe and Great Britain. In the hospitality segment at our brand homes in Hobart, sales were modestly lower than the prior corresponding period, primarily due to the 3-month closure of our Hobart Cellar Door on Davey Street for significant renovations. The refreshed Cellar Door reopened in time for Christmas just December '22 as it happens, with final enhancements to the venues upper level completed just this month. We've observed strong performance across other venues, offsetting the closure of Davey Street. Pontville saw a 28% increase in distillery tours versus the prior corresponding period. Renovations of event spaces at Pontville were completed during the half in support of our existing Tasmanian tourism innovation grant. The revamped site sees additional space added to support increased booking and events to aid brand awareness. Domestic, will head to domestic B2B net sales. Business-to-business net sales were $2.3 million for the half, which was a reduction versus last year with the comparative period seeing the transition of our sales model to service domestic Australia. For part of the comparative period, LARK operated under a direct sales approach prior to transition to a distribution partnership with Spirits Platform, the company's domestic distributor to provide the opportunity for significantly greater commercial reach versus the prior model. In addition to this transition impact, domestic B2B sales performance was impacted by timing of shipments to Spirits Platform. Importantly, however, underlying trade performance for LARK whisky remains positive with depletion volumes, that is sales from the distributor to our trade customers, up 9% versus the previous period despite challenging market we're operating in. We're expecting ongoing momentum in H2 with incremental distribution of the new range secured. While the gin category remains subdued as reflected in volume declines of Forty Spotted Gin, the brand has, however, demonstrated notable resilience versus the wider category, especially within our national accounts. Considerable effort is now underway with Spirits Platform to support the forthcoming launch of the refreshed LARK portfolio in the second half of this financial year. This includes intensified marketing investment and commercial execution plans. With the Spirits Platform operating model now fully embedded, the streamlined route-to-market structure provides a robust foundation for the restage LARK range. Incremental shelf placement has already been secured for the new portfolio with products scheduled to appear in stores across both national accounts and independent outlets from April 2026. To our third strategic priority, cash and capital discipline. As mentioned earlier, LARK has a strong balance sheet and cash position to support its growth ambitions and support its strategic milestones. We will continue to be measured in our capital allocation to support growth plans through to our positive operating cash flow target during FY '27. From a future capital allocation policy, it is important to note our Pontville development has now been finalized with major capital projects now complete. We will continue to invest in current and new export markets, including international and GTR expansion. We will commercialize the full whisky bank, including utilization of acquired inventory in products like Kurio and LARK Fire Trail to support future growth. Finally, and very importantly, we have the capital in place to execute our growth strategy. I'll now hand over to Iain to talk us through Pontville Distillery and our whisky bank. Iain.
Iain Short: Thanks, Stu. I'm on Slide 19. As Stu just mentioned, the redevelopment of Pontville is now complete. As we previously outlined, the distilling capacity on site has now increased to approximately 520,000 liters at 43% and a modular design allows for future expansion with modest additional CapEx when required, future-proofing our distilling operations. Automation and site improvements have removed production bottlenecks and enhanced safety, quality and efficiency, supporting lower future production costs and the new make spirit that the team is now producing is exceptional. Our whisky bank, 2.4 million liters is a strategic asset for the company, underpinning both near-term growth initiatives and the longer-term expansion by growing export markets. The current sales profile is now carefully aligned with forward sales plans, enabling the optimization of short-term distilling volumes to broadly match current sales. There's obviously been significant work over the last couple of years on portfolio development. In addition to the more obvious consumer-facing pack and brand positioning to drive sales growth, a key tenet of this work has been ensuring utilization and commercialization of the full whisky bank, including inventory acquired in the Pontville acquisition back in FY '22. This whisky has a higher book cost under acquisition accounting as it includes a fair value uplift in addition to underlying cost of production. Through our portfolio work, we are now able to commercialize the acquired inventory at scale through products like Kurio Blended Malt and LARK Fire Trail. The deployment of this acquired inventory generates a noncash impact on reported gross margins. This arises because the fair value uplift recognized under acquisition accounting flows through as an elevated cost of goods sold. And as we continue to utilize this inventory at scale, it will impact reported gross margin for future periods. That's why, as previously outlined, to provide greater clarity, we will disclose the impact of this together with the underlying margin excluding this accounting impact. I'll talk more to this in the next section. Moving on to the H1 financial highlights and the P&L slide on Slide 21. As Stu mentioned, net sales revenue grew by 10%. And within this, whisky net sales rose by 18% versus first half of FY '25. The increase in net sales driven by growth in D2C, Global Travel Retail and export distributor channels, partially offset by lower net sales from domestic B2B. Net sales growth is a higher rate than gross sales, including excise due to the relatively higher growth in export shipments, which are not liable for Australian excise. As Stu mentioned, the domestic B2B comparatives were impacted by a change to the sales model back in August 2024, with part of the comparative period reflecting previous direct sales model as well as shipment timing and one-off transition effects. As I outlined just before, the start of utilization of acquired inventory at scale saw a historical fair value uplift flow through COGS. This resulted in a reduction in gross profit by around $0.4 million and gross margins by around 5 percentage points versus the underlying production cost of the whisky. It's important to note that when removing the noncash accounting impact, underlying gross margins remained broadly stable at 63%. We continue to prepare for the new portfolio launch in the second half of this financial year. And despite increased investment in consumer and trade activities in the half, we were able to reduce marketing expenses to 23% of net sales, down from 27% in the first half of last year due to nonrecurring brand development spend in the comparative period. Expenses for share-based payments benefit from the reversal of previously recognized expense following the forfeiture of unvested performance rights and the P&L also benefited from government grant income of $0.6 million recognized in relation to the Pontville Distillery and Tourism operations. Turning to the balance sheet. Cash and cash equivalents were $18.3 million at 31st of December. Trade and other receivables rose to $1.1 million, with the increase driven by growth in export sales as well as timing in relation to R&D income receipts. Total inventory with a book value of $65.2 million provides strong asset backing to underpin our future growth, and this includes $48.6 million at cost of production and $16.6 million fair value uplift on acquired inventory from the Pontville acquisition in FY '22. Property, plant and equipment increased by $0.9 million versus June with $1.2 million invested in the Davey Street Hobart Cellar Door redevelopment, Pontville distillery and wider Pontville site development. All major projects are now complete with minimal spend remaining. Trade payables reduced to $1.9 million versus June '25 with the prior period elevated by purchase timing and a $0.6 million government grant reclassified to payables and subsequently repaid in July. Deferred tax asset remains prudently derecognized. Carryforward losses remain available, and we expect the DTA to be re-recognized in future periods when profits are expected to arise. Deferred government grants were down $0.6 million versus June with the income recognized in the P&L and full recognition criteria has now been met for the remaining $1.7 million balance, and this will be amortized to income over the useful life of the related assets. Importantly, LARK remains debt-free. Moving to the cash flow statement. We continue to focus on cash and capital discipline across the business. Cash outflows from operating activities improved by $0.3 million through stronger sales performance, moderated distilling through the Pontville commissioning and interest income with these improvements partially offset by temporary timing impacts. These timing impacts included a reduction in creditors from the elevated June balance and the timing of R&D incentive receipts with $0.5 million received in the prior year and the equivalent receipts expected in half 2. Investing cash flows included payments for property, plant and equipment related to the developments I just talked about, which are now commissioned and repayment of government grants related to the unutilized funding under the modern manufacturing initiative, which was repaid in July, as just mentioned. Investments in the prior period reflected the timing of term deposit maturities and consequently, net short-term investment activity on a full year basis last year amounted to 0. With that, I'll hand back to Stu.
Stuart Gregor: Thanks, Iain. And turning to our growth priorities and perspectives for the second half. As we look to the future, we look to executing on our 3 strategic pillars to generate the long-term value for all shareholders. Our growth strategy focuses on this orchestrated rollout of the refreshed portfolio, designed to build momentum across key markets and channels while reinforcing our position as a global scalable luxury brand. In the second half of F '26, we will execute coordinated consumer and trade launches across all channels. Export trade launches commenced from January, enabling early international presence. The domestic Australian market will follow in March and April, capitalizing on heightened local anticipation and GTR activations will begin in May, aligning with peak travel seasons to capture high-value aspirational consumers. To support this ambitious expansion, marketing investment will remain substantially elevated with a deliberate shift in allocation toward consumer-facing activations and trade engagement. This focused approach will drive awareness and loyalty while amplifying the portfolio's premium appeal. Concurrently, we will continue the systematic rollout of our updated brand positioning and visual identity across all consumer touch points. These enhancements are crafted to strengthen our luxury credentials, ensuring a cohesive, sophisticated narrative that resonates globally and supports long-term scalability. International sales momentum and domestic leadership remains a core priority. We anticipate sustained growth even amid challenging market conditions propelled by rigorous operational discipline, the compelling introduction of the new portfolio and the strengthened brand positioning. Within Australia, initial B2B shipments of the refreshed portfolio are slated to commence in quarter 3 of F '26. And meanwhile, sales through the Whisky Club of the Rare Seppeltsfield series, which was seen in quarter 3 of F '25 is scheduled for quarter 4 of this year as stated earlier. And as Iain outlined, commercialization and scale of acquired inventory will continue to see a modest noncash impact to reported gross margins. On the cash and capital front, we maintain unwavering discipline. Operating cash flows will reflect the upfront weighting of marketing expenditure in the next year or so before turning positive in FY '27 as sales momentum accelerates. The Pontville commissioning process is now fully complete with distilling volumes adjusted to anticipated demand and sales trajectories. With major capital projects now concluded, we've secured the necessary resources to execute our growth agenda. Future capital allocation will remain sharply focused on brand-building initiatives and commercial expansion, ensuring we continue to invest strategically in the drivers of sustainable, premium and long-term growth. As I said at the top, it's an exciting time for LARK. And that, my friends, is it from me, and I'm happy to hand back to Mel, who can facilitate any questions you might have.
Melanie Jaye Leydin: Thanks, Stu. Our first question is actually about yesterday's news. Would you be able to give us a little bit of an update on the CFO process and Paul's appointment?
Stuart Gregor: Yes. So yesterday, we were thrilled to announce that Paul Bowker will be joining the business. He was one of the co-founders of the Brick Lane brewery, and he's been a former CFO of a listed business for about 6 years of LogiCamms called ASX-listed business. We're thrilled to get Paul whilst sad to lose Iain, who's sitting on my left. Paul is a lawyer by trade has a Masters in Finance. He's entrepreneurial in spirit, and he starts on Monday. So it's a good time for us. It's a good transition with him and Iain that will go through the entire month of March. And I hope we're good to go. We're very excited to get him on Board. And he -- from some of the notes I've got from the trade and from some of the people in the finance world, he's pretty well regarded. So we're thrilled to get him.
Melanie Jaye Leydin: Great. Thanks, Stu. We might stick with you, Nick from Barrenjoey has asked, what are the key learnings from your time at 4 pillars that could apply to LARK?
Stuart Gregor: I mean -- where to begin? I mean some of the key learnings are how we can build a brand globally. Not many people probably gave a gin brand from the Yarrow Valley much of a chance to become a globally recognized brand and a brand that is doing particularly well in the global travel retail as an example. So I think we can learn from that. I think what it does is it gives me confidence that the world wants to see some great products, some great spirits coming out of Australia. And we had -- I think we crafted a great story of 4 pillars. But what LARK has that even 4 pillars didn't have is we have the Genesis story. We have the story of leadership. We were the first to do it. We've built the best reputation amongst all Tasmanian whisky. So we have a huge competitive advantage against our Australian competitive set. And I think we're going to be able to take really New World Whiskys. These are very different, exciting, delicious whiskys that don't taste like we're trying to mimic Japanese styles or we're trying to mimic Scottish or Irish or American styles. These are very uniquely Australian and uniquely Tasmanian whiskys. I think the other thing I've learned is the whisky is more complicated than gin, but potentially more fun, but definitely more complicated. So I think we've learned a little bit a lot from 4 pillars. But I think we can also apply some of the things that we probably maybe didn't get entirely right with 4 pillars. So hopefully, we can get it better the second time around.
Melanie Jaye Leydin: Great. Love to hear it. So the next question is, what does the product pyramid look like once reset fully? Which parts of the product pyramid are going offshore? And what price point is sustainable at scale?
Stuart Gregor: Let's just talk about there are 3 core brands that start at what we're going to call AUD 170. There will be some differentiation in pricing across markets depending on local taxes and everything else. But I think that is a sustainable price for our entry-level whisky, which will be the Fire Trail. I think that, that might be -- I think that's a product that is competitive enough in pricing. It's high enough quality for us to, I think, be able to sell that across duty-free as well as into domestic and international trade. So by that, I mean, on-trade and off-trade. We will then have a product around $200, the Devil's Storm. I think one of the things to remember is that these are going to be about price parity to our current products, but you've got 40% more. So you're a 700 ml product rather than a 500 ml product, and we're trying to keep the prices about parallel. I think they are sustainable pricing. And I think that when we look at the market of luxury whisky, so I'm going to call that whisky is above USD 100 a bottle for a 700 ml bottle. That is the segment of the category that is in greatest growth globally. It's the real low-value products that are really suffering at the moment. And I think people have probably heard about some of those Jim Beam and some of the other products that are really suffering at that really commercial level where price -- just aggressive price discounting is happening everywhere. And I think it's going to be happening in Australia a little bit more as well. So I think that $170 to $200 and then the Ruby Abyss, which will be in our core, which is the Red Label, if we go back a few slides, will be in the sort of $380 to $400, and that will be very much our first of our sort of super luxury products. And I think that, that will become a bit of an iconic whisky without wanting to overuse a term that gets overused, I think really this will become something really quite special. There will be other products. There will be a dark LARK coming in. And again, that will be in that sort of AUD 200 price point. Again, a little bit -- once we work on travel retail, we'll be able to adjust those pricing without that enormous excise that we have to pay in Australia. So these whiskys will be price parity across the world. But I think we're -- I think price-wise, we're good. So that's the pyramid, if you understand those 3 products. And then there will be other exclusive products coming into the direct-to-consumer channel. There will be exclusive products coming into the global travel retail channel, and there might even be exclusive products going to the on-premise channel. But that's our pyramid is currently 3, but there'll be a few more coming in at prices. But we won't -- and then there'll be Kurio, which will be around $100 blended malt price point moving forward. I hope that answers your question. Thank you.
Melanie Jaye Leydin: Great. Iain, we might switch to you. Lachlan from Moelis has asked, how much in cost savings are you expecting from the completion of the Pontville site redevelopment?
Iain Short: Yes, all right. So the Pontville site development, as I explained earlier, there's a couple of sort of key elements of that. One is significant automation versus the very manual footprint that we had previously. So we will see obviously efficiencies come through that. And in particular, that will be when we scale. Obviously, as we do scale volumes, we don't need to put significant additional headcount on. So we will see efficiencies within that distilling production cost. We will also see one of the things that's quite often overlooked is that blending and the wider infrastructure that we -- that we've developed down at Pontville is massive for us because it actually allows us to scale. Previously, we were relying on third parties for blending, so additional costs, et cetera. So we should have efficiencies in that blending cost as well, which will help us in COGS in particular as we scale. But probably the critical bit is the development does allow us to scale in addition to that cost base.
Melanie Jaye Leydin: Great. And we might just stick there because Nick also from Moelis has congratulated you on the results. And he's asking if you could share some insights on how management and the Board are thinking to the potential expansion of Pontville to that 800,000 liters. What do you need to see to make the decision to pursue the expansion? And given the modular design, would you look to increase capacity and stages?
Iain Short: Yes. So I'll cover that one. So yes, it's a modular design. So that means that we can, in the future, expand the capacity with pretty minimal CapEx. Importantly, we have just increased the capacity to just over 0.5 million liters, which gives us pretty significant headroom versus where we are now. We've talked for the last little while about broadly matching distilling production levels with our current sales. So in round numbers, we can talk probably for this calendar year somewhere in the region of 100,000 liters of production, and we'll be looking to increase that production as we grow our sales volume. So where we are right now is round numbers, 100,000 liters. We've got headroom and capacity to get to 500,000 liters. And as we grow, we will be growing sales -- sorry, as we grow sales, we'll be growing distilling. So you can think of the whisky bank in volume terms as broadly staying about that 2.4 million, 2.5 million liters for the sort of short to medium term. So it gives us optionality for the future, but that's for another day, another year, we've got the capacity to grow with our current footprint.
Stuart Gregor: I think if we get capacity of Pontville soon, we've gone pretty well. Things are going great.
Melanie Jaye Leydin: Okay. We've got a few questions here on Asian markets. So firstly, what early data points can you see at the distributor level for depletions of initial shipments? And what are your expectations for the size of reorders in key export markets like China, Japan and Southeast Asia?
Iain Short: I can start off. In terms of initial data points, very, very limited right now. The new shipments of the -- sorry, the shipments of the new portfolio sort of back end of the half, landing in around about Christmas time with the first markets to go being Singapore and Malaysia that Stu talked about just before and had those pictures on. So very, very early days. And maybe Stu can give a bit of color, but -- because I wasn't there, but the reception from the -- from our customers, i.e., our distributor partners, trade, consumers, media was pretty exceptional by all accounts. So in terms of what that means for depletions, it's too early to tell. We're sort of desperate to get that, but initial reaction and support from -- across our distributor base and across the trade has been fantastic. So we are pretty excited and optimistic for that depletion run rate and therefore, reorders.
Stuart Gregor: Yes. I would think it's something that we might have a little bit more detail on the next half. We just don't have it's literally too early. I mean the stock -- when we did our promotional tour of basically KL in Singapore was the third week of January, and that stock was only -- had only recently arrived. What we do know is that we depleted most of the stock that was -- that came out of bond already in Malaysia. So that's a good start. It's a good high -- it's good high-end whisky trading Kuala Lumpur but very strong. Singapore was also good. We know that Kurio has gone well in China. But again, it's particularly hard time to get data out of the Asian markets with Chinese New Year and everything else. But we're hoping that in March, April, we'll start seeing some real numbers coming back. So we should have something a bit better to report in the second half, I would hope.
Melanie Jaye Leydin: So wait for Q3?
Stuart Gregor: I think 7 out of 10 of our markets in Asia have got or on the water with the new product. So some of that 3 or 4 of our markets in Asia are still working through the old product. For instance, I had dinner last without Fiji and agency, lovely little market there, little bit of progress going on there, but still selling the old product into the luxury market into Fiji. I'll get the new product significantly later in the year, I imagine.
Melanie Jaye Leydin: And just sticking with that, in terms of feedback from Asia and how LARK stacks up versus traditional single malt, what other investments does LARK need to do to drive awareness and perception of the brand?
Stuart Gregor: In short, a bit, quite a bit. But we are going to a market that loves its whisky, huge market. If we just talk about Asia for the time being that loves its whisky is whisky drinking significantly greater percentage of spirit drinkers drink whisky than, for instance, gin. But we are going with new products. We're going with products that taste a little bit different. I think that the taste profile, they're very rich, anxious, viscous, sweet, beautiful Tasmanian whiskys. They don't taste like Macallan, which is a clear market leader in many of the markets that I visited recently. They taste -- I think they're going to appeal as flavor forward rich whiskys. They don't have an age statement. So we have to educate a very big market in what that means and why that's better, why Australian whisky and Tasmanian whisky in particular, doesn't need to be matured for 15 years to taste as good as it does. So there's a lot to do. We have to educate. We have to have people on the ground in Singapore. We have to do it hand-to-hand combat at our level. It's not a big advertising campaign, for instance. It's getting individual bars, individual retailers, individual travel retail ambassadors and advocates to understand why this is such a great story and why this is such a great whisky. It will take -- it's going to be a really interesting and engaging time up there. I can't wait, and we're going to have 3 people on the ground in Singapore full time whose sole role is going to be selling that story and these whiskys to those markets.
Melanie Jaye Leydin: Great. Iain, we might switch to you. Could you talk to how you think about gross margins for the next little while? You touched on it, but it looks like we should expect acquired inventory to continue to be sold through. I appreciate this is a noncash pass-through, but for how long might this be?
Iain Short: Yes. Okay. So yes, as I mentioned, noncash impact. And just to give a bit of sort of quantum. So what we're talking about here is the inventory acquired during the Pontville transaction back in FY '22. That was a little under 480,000 liters. So round numbers just a little bit less than 20% of the whisky bank. And we've only just in this half started sort of selling out at scale. So reasonable size volumes of that acquired inventory as a proportion. At this point in time, Kurio and LARK Fire Trail are the current products, which allow us to really utilize the acquired inventory at scale. And obviously, the utilization depends on the, let's say, the trajectory of those products. And equally, the relative impact to gross margin depends on the relativity between those products and other products which are utilizing our own whisky. So quite difficult to pin an exact number because there's multiple variables, but probably how to sort of look at it, we've seen about a 5% impact to gross margin in this half, something similar for the next little while because it's not just acquired inventory selling. So it's going to be a relatively modest impact, that sort of 5-ish percent. And as it's just under 20% of the whisky bank, we'll deplete that as we grow, but it's probably there for the medium term.
Melanie Jaye Leydin: Yes. Great. And I think probably importantly, we're going to keep reporting.
Iain Short: Yes. Yes.
Melanie Jaye Leydin: So could you also talk to what we should see as consumers with the brand restage activations domestically? Assuming there will be some differences in your strategies to sell through to the D2C and B2B audiences.
Stuart Gregor: Yes. I mean you will see a whole new LARK coming to market. The question was what we as consumers should expect to see. So you'll expect to see a whole new product on the shelves, a whole new -- totally new brand. You'll see a new website, you'll see new digital advertising once we go into the larger retail partners. You'll see an increased presence at both Sydney -- not just, Sydney, Melbourne and Brisbane Airport primarily. You'll see a totally new -- you'll see some new positioning around the island is calling whiskys from the new world, those sorts of things. And you will start seeing -- I think you will see more increased presence on the back bars of the best bars in the domestic market. We're just talking about the domestic market. I think that's what the question was. One of our focuses is going to be making these whiskys much more available for people to taste in the higher-end on-premise market, whether that' Sydney, Melbourne, Brisbane, Adelaide, Perth. And then you'll hopefully see us in as much retail at the higher end as we possibly can. It is -- they're much brighter. They're much livelier. And I think they will have increased shelf presence. So we think that people will hopefully want to take them off the shelves more regularly.
Melanie Jaye Leydin: Great. And maybe just talking about channels there, could you talk to what are the next steps in the GTR journey? Or is it all about sell-through volumes now?
Stuart Gregor: I mean, look, the next step in the GTR journey, well, Sydney is a priority gateway for us. It's a priority gate. It's an important door globally for whisky brands. We just stick to whisky. Our relationship with Sydney and Heinemann is crucial, not to diminish Lotte, not to diminish Brisbane and Melbourne are very important gates as well, increasingly so in Brisbane in particular. You will see us having a whole new -- our new positioning will appear from May. We will have -- in Sydney, we will have a whole new area dedicated to LARK. We will have all the new brand there, new product there, new packaging there. We are taking -- it's an interesting world travel retail. You have ambassadors on the floor selling a product and that sort of stuff. So we'll be taking all of them down to Tasmania. I think what you'll see is an increased presence in all of the Australian airports. I would very much hope that we would have a relationship with at least 1 or 2 of the key Asian gates before the end of this financial year. We have begun conversations with some of the more important airports. There's no guess, no massive mystery around what those would be for us. We will hope to have some presence in some of those markets. We've had those first meetings in literally the last 3 to 4 weeks. And it is -- as you can imagine, these are very, very large businesses, and it takes a little while for them to range new Australian whisky. So I would -- I hope that answers your question. But I would think -- and from a domestic -- just from a domestic retail perspective, I hope you see us a lot -- across a lot more independents and major chains. And as I said, I hope one of the things I really want to prioritize is seeing us more in bars. So people can get that little taste of a nick of one of our LARK's and that's something I want to buy, whether it's next time I go to a retailer or next time I go overseas. So yes, we need to get -- we all call it liquid on lips, right? We need to get people tasting these new LARK's. And that's a priority for the business is to get as many people to taste these LARK's because one of the things we found is that a lot of people know of LARK and like the brand intuitively. But then when you ask, well, have you tasted LARK, they tend to go, no, I don't have that, but I like the brand. So we just need -- that's the level of conversion we need. We need to get everyone to say, I like it, I want to buy it and I want to taste it and drink it.
Melanie Jaye Leydin: Great. That brings us to the end of the question. So Stu, I might pass to you for final comments.
Stuart Gregor: Well, look, it's been a -- not in the like, it's been a well-win 7 weeks. We've got a new Chief Financial Officer. We've been up to Asia. Bill and Chris have won a couple of awards. So it certainly has been a -- it's definitely been an interesting 7 weeks. We've had a lot of fun. I think we only reopened the Tasmanian Cellar Door last Thursday officially with all the local dignitaries in Hobart down there. It's really exciting that the distillery looks fantastic. The new make that is coming out of the distillery is the best I think the business has ever made, and that's coming from Chris and Bill. So the spirit that's going to be coming through us LARK over the next 5, 10 years is going to be incredible spirit. The new products are getting an, incredibly unanimously positive reception. So I think they'll really hit the market. March 26 is our go-live date from our internal perspective. So I think this half is going to be a really interesting half. It's going to have all of the challenges that these businesses have. And then I think moving into next financial year, we should really start seeing -- I hope we build some momentum. I hope we get some impetus going. And I think it's an exciting time. And primarily these whiskys are fantastic. And this new restage is fantastic. So credit to Sash and the team and Iain who have been working on this for 3 years. So hopefully, I can come in and take credit for all of the hard work they've done.
Melanie Jaye Leydin: Thanks, Stu.
Stuart Gregor: Thank you, team. Thank you, everyone.